Operator: Greetings. Welcome to the Federated Hermes Q1 2025 Analyst Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Ray Hanley, President of Federated Investors Management Company. You may begin.
Ray Hanley: Thank you, Holly. Hello, and welcome to our call. Leading today's call will be Chris Donahue, CEO and President of Federated Hermes; and Tom Donahue, Chief Financial Officer. And joining us for the Q&A are Saker Nusseibeh, who is the CEO of Federated Hermes Limited; and Debbie Cunningham, our Chief Investment Officer for the Money Markets. During today's call, we may make forward-looking statements, and we want to note that Federated Hermes' actual results may be materially different than the results implied by such statements. Please review the risk disclosures in our SEC filings. No assurance can be given as to future results. And Federated Hermes assumes no duty to update any of these forward-looking statements. Chris?
Chris Donahue: Thank you, Ray, and good morning, all. I will review Federated Hermes business performance. Tom will comment on our financial results. We ended Q1 with record assets under management of $840 billion, driven by record money market assets of $637 billion. Looking first at equities. Assets increased by $1.5 billion from year-end due mainly to net sales of $1.4 billion. Equity sales in the first quarter were led again by our MDT fundamental quant strategies. Looking at the MDT strategies in funds and SMAs on a combined basis, net sales were $2.5 billion in Q1, more than double the prior quarter's $1.2 billion. Q1 continued the sales momentum from last year when net sales for these strategies reached $3.4 billion, up substantially from $411 million in 2023. For the second quarter through April 18, these strategies have had net sales of $345 million. We are also seeing MDT interest from institutional investors as evidenced by net sales of nearly $700 million in Q1 and by MDT wins of $1.7 billion that have yet to fund. Q1 saw further improvement in flows from strategic value dividend strategies, both domestic and international. These strategies had Q1 combined fund and SMA net sales of $188 million from combined funds and separate accounts compared to negative $221 million of net redemptions in the prior quarter. For Q2 through April 18, these strategies had net sales in combined funds and SMAs of $47 million. We had net sales in 18 equity fund strategies during the first quarter, including the aforementioned MDT Mid Cap Growth, MDT Large Cap Growth, importantly, the MDT Mid Cap Collective, also MDT All Cap Core, MDT Large Cap Value, and again MDT Large Cap Growth ETF. Looking at our equity performance at the end-of-the first quarter and using Morningstar data for trailing three years, 44% of our equity funds were beating peers and 31% were in the top-quartile of their category. For the first three weeks of Q2, combined equity funds and SMAs had net sales of $208 million. Now turning to fixed income. Assets increased by about $1.4 billion in the first quarter from year-end due mainly to higher market valuations, partially offset by net redemptions. We had 19 fixed-income funds with net sales in the first quarter, including government Ultrashort Fund and the municipal Ultrashort Fund. Regarding performance, at the end-of-the first quarter using Morningstar data for the trailing three years, 44% of our fixed-income funds were beating peers and 18% were in the top-quartile of their category. For the first three weeks of Q2, combined fixed-income fund and SMAs had net redemptions of $88 million. In the alternative private markets category, assets increased by $562 million in Q1, due mainly to the impact of FX rates and net sales of about $61 million, mostly in MDT Market Neutral Fund. We are in the market with European Direct Lending III, the third vintage of our European Direct Lending Fund. To date, we've closed on approximately $350 million. The target raise is about $750 million, and EDL I raised $300 million, and EDL II raised about $640 million. We're also in the market with Global Private Equity Co-Invest fund, which is the sixth vintage of the PEC we call it the PEC Series. First close in April for about $114 million with a target raise of about $500 million. PEC I through V raised about $400 million to $600 million in each fund. The Federated Hermes GPE Innovation Fund II, the second vintage of our pan-European Growth Private Equity Innovation Fund, is in the market as well. And to date, we've closed on approximately $110 million with a target raise of $300 million. Our first vehicle here raised about $240 million. We're also in the market with a European Real Estate Debt Fund, a new pooled European debt fund and it's marketing here in '25 with an overall target of $300 million. Now, we continue to develop our private markets business for growth. This month, we completed the acquisition of a majority interest in a U.K. renewable energy company called Rivington Energy Management Limited. The acquisition enhances our private markets platform by adding project development expertise and specialist energy transition sector experience to our institutional investment and asset management capabilities in the infrastructure asset class. This acquisition offers access to an existing renewables pipeline and a track-record of innovation, enabling us to identify emerging sub-sectors with significant commercial opportunities and deal flow for future fundraising. We believe that access to high-quality proprietary deal flow grounded on innovation and thought leadership will be critical to future fundraising. This combination creates the capability to manage end-to-end energy transition projects for investors and adds a highly complementary skill set and offering to our private markets business. Across our long-term investment platform, we began Q2 with about $3.9 billion in net institutional mandates yet to fund into both funds and separate accounts. Equities expected net-net additions totaling $1.8 billion. The wins are led by MDT with global equity participation. Approximately $1.7 billion of total net wins are expected to come into private market strategies. The wins are in private-equity and direct lending. Fixed income expected net additions total about $400 million, and the wins are in sustainable investment-grade credit, active cash short-duration, and government bonds. Now moving to Money Markets. We reached another record-high for money market assets at the end-of-the quarter, $465 billion and total money market assets of $637 billion. Total money market assets increased by about $7 billion in the first quarter as money funds added $3.2 billion and money market separate accounts added $3.6 billion. We were able to increase our money market managed assets in Q1 against seasonal factors that have often resulted in lower assets. Against the recent backdrop of market volatility, market conditions remain favorable for cash as an asset class. And in addition to the appeal of relative safety in periods of volatility, money market strategies present opportunities to earn attractive yields compared to alternatives such as bank deposits and direct investments in T-bills and commercial paper. Our estimate of money market mutual fund market-share, including our sub-advised funds, was about 7.10% at the end of Q1. Down slightly from about 7.22% at the end of 2024. Looking at our money market fund, market-share changes from Q4 to Q1 over the prior four years, we saw an average decrease in that timeframe of about 34 basis points. Now, as we look at recent asset totals of the last few days, managed assets were approximately $828 billion including $629 billion in Money Markets, $78.5 billion in equities, $98 billion in fixed-income, $20 billion in alternative private markets, $3 billion in multi-asset. Money market mutual fund assets were $456 billion. Tom?
Tom Donahue: Thanks Chris. Total revenue for Q1 decreased slightly from the prior quarter as higher revenue from money market assets of $9.8 million were offset mainly by lower revenue of $9.2 million from fewer days and lower revenue of $3.2 million from equity assets. Total Q1 carried interest and performance fees were $5.9 million compared to $4.8 million last quarter. Approximately $1.3 million of the Q1 fees were offset by nearly the same amount of compensation expense. Q1 operating expenses decreased by $22.5 million from the prior quarter due mainly to $13.7 million of lower FX-related expense. So the pound strengthened versus the dollar and a credit up to $12.9 million from a VAT refund. Compensation and related expense increased by $6.1 million from the prior quarter due mainly to seasonally higher expenses for stock-based compensation and payroll taxes. Advertising and promotional expense decreased due mainly to the timing of our advertising campaign spend. The Q1 tax-rate of 23.6% was lower than the expected range. We expect the tax to be in the 25% to 28% range for 2025. The Q1 rate was impacted by the U.K. entity recording pre-tax income as a result of the $12.9 million VAT tax refund with no additional tax as a result of valuation allowances from prior year tax losses offsetting this income and the net income attributable to non-recurring -- non-controlling interest which are not taxed. At the end of Q1, cash in investments were $542 million, cash in investments excluding the portion of -- attributed to non-controlling interest was $476 million. In addition to investments for growth, we seek to use acquisitions, dividends and share repurchases as levers to add value for shareholders. So far in 2025, we've used all three. In addition, to the Rivington acquisition, Chris already mentioned, the Board of Directors yesterday declared a $0.34 per share dividend, an increase of nearly 10% from the prior quarter dividend. During Q1, the company purchased just over 3 million shares or almost 4% of its stock for about $120 million. Holly, we would like to open the call up for questions now.
Operator: [Operator Instructions] Your first question for today is from Ken Worthington with JPMorgan.
Ken Worthington: Hi, good morning. Thanks for taking the questions. I wanted to start sort of digging into the money market, market-share. So, it looks like the industry money market fund AUM increased about $110 billion in 1Q, suggesting inflows. I think the Federated money market fund AUM was up around $3 billion, suggesting outflows. And we know the money market fund business is very competitive. So maybe can you talk about the competitive environment, the shifts that you're seeing that might be driving this divergence in sort of growth? And it feels like we've seen this since the Fed began to cut so, any comments there?
Chris Donahue: Ken, what did you mean by $3 billion of outflows when you were saying there were $3 billion of inflows.
Ken Worthington: I am sorry. What I tried to say was you had $3 billion of increased money market fund AUM, which actually suggests outflows for Federated in money fund assets for the quarter. So the industry had inflows, it looks like you had outflows. That's what I was getting at.
Deborah Cunningham: I am not sure I follow the math on that, Ken. This is Debbie. The inflows were definitely positive. They were not as positive as some others in the industry. Maybe just to break the quarter down a little bit. First of all, I'd start by saying, usually the first quarter is the worst quarter of the year on a cyclical basis for all the industry from a liquidity business standpoint. And this has to do with a lot of strength that comes from flows from the fourth quarter in a window dressing manner to some degree, reversing in the first weeks and early part of January of every year. That didn't happen this year. So that's a positive from an industry standpoint. What I'd also note is that from a percentage standpoint within the first quarter, through the middle of March, our assets were up substantially more than what they ended up being positive for the end of the first quarter. That had a lot to do with -- starting with March 15, a substantial outflow due to corporate taxes that I think was probably a little bit worse for us just simply because of our larger institutional nature. And then secondly, towards the end of the quarter, it was a rougher quarter-end. And I think a lot of that had to do with what was happening from a broader macro perspective, with the tariff issues that had not yet been fully understood or announced, but concerns about them and the volatility that was happening in many of the other markets, again, looking at our institutional nature, we had substantial outflows due to margin calls, I think, on other customer -- institutional customers other assets that came out of their liquidity portions. If we even carry that further now into the month of April, personal taxes and additional margin calls from institutional customers continue to be a negative plague despite the fact that it's been a general positive trend to today within the month of April. But definitely a different first quarter than would be the norm in the Money Markets.
Tom Donahue: Hi, Ken, this is Tom. Just to give you the assets in the Money Markets. So, December year-end, we ended up at about $630 and of March 31, '25, we ended up at $637. And then more importantly for our revenue is the average assets. So, the money market average assets in the end during Q4 were $601, and for Q1, we're $639.8. So just...
Ken Worthington: Yep. Got it. Appreciate that. And then just on the April data you gave in fixed-income suggested some elevated fixed-income outflows. What's sort of driving that? It seems to be sort of a change from what we saw in recent quarters?
Chris Donahue: Well, the numbers there were basically made up of Total Return Bond Fund and High Yield. With about three-fourths of the 888 being in Total Return and another -- the rest of it in High Yield. One of the things that the -- we're happy with is that the Total Return Fund's performance is improving. It hasn't moved, the three-year number yet, but it has moved the recent numbers. And so, we are optimistic about that. The basic call there, which I think we mentioned on the last call, was a kind of a defensive one that relative to others was not the greatest call for last year, but it's starting to look a lot better as we work through this part of the year. So that's part of the ebb and flow going on there.
Ken Worthington: Great. Thank you very much.
Operator: Your next question for today is from Patrick Davitt with Autonomous Research.
Patrick Davitt: Hi, good morning, everyone. So I appreciate the tax payments always make late March, early April seasonally weak. So maybe could you frame what you're seeing in money fund flows since tax date? And then higher level, perhaps for Debbie, an update on where you think we are in kind of that post-Fed rate cut institutional rotation into money funds that you've been talking about for some time? And then beyond that, have you seen any sign that the tariff noise is driving non-U.S. clients out of U.S. money funds? Thank you.
Tom Donahue: Don, I'll take the last one and let Debbie take the first two if we can remember them all. On the last one, we haven't seen any of that of tariff noise causing international clients to do much of anything. So that -- we'll start with that one. And then for Debbie's long-term views on things?
Deborah Cunningham: Sure. Maybe just to give a little bit of an update since the personal tax date on April 15. For the next week, basically, we have -- we saw pretty substantial flows back in. This is both from a retail as well as an institutional standpoint, a little bit less so this week. If I look at what we're expecting going through the 2025 timeframe, from a rate cut standpoint, two to three, three more likely with a fallback being two, that's from where we kind of started the year, and one more likely with a fallback being two. But in any case, the expectations are for higher for longer. If you look back to when this cutting season started in September of 2024, were expected to be close to 2% already by now given that we started with that 50-basis point rate cut back in September. So we're not anywhere near to there. And I think that both retail and institutional continue to enjoy the four-plus handles that they have on their money market investments at this point with the expectation that even if they go down into the mid-three's, that's still a substantial win over where they had been for a very long period of time when rates were back at zero. Inflation definitely is a wildcard. We continue to see sort of the hard data of inflation, the hard data of employment leaning toward a Fed that would be maintaining higher rates for a longer period of time and not lowering them at the pace that some of the industry is assessing. But when you look at some of the softer data, the confidence data, the survey data, ultimately, you've got a deterioration in that data that would lead you to maybe expect a little bit faster rate-cutting policy by the Fed. And that still remains to be seen. We're going with the hard data for now. We're looking at fewer rate cuts than what necessarily the beginning of the year and the rate-cutting cycle would have initially expected. And ultimately, that still brings continued positive flows from retail and institutional into the product. So it's happening. We continue to that -- to expect to keep that pace, if not grow it.
Tom Donahue: Hi, Patrick, this is Tom. Just the specific since the tax money stop leaving, we're up about $5 billion, and as Debbie said, both on the money fund side and on the institutional side.
Patrick Davitt: Great. Thank you. As a quick follow-up, there's obviously been a lot of FX noise in your numbers the last few quarters. I guess, what is the steady-state number for that other line item without all of the FX noise now? And do you have an idea of what the impact is looking like so far in 2Q given all the FX volatility? Thank you.
Tom Donahue: Okay. So we have over GBP100 million in that we are hedging because of our U.K. office that earns revenue in dollars and has expenses in pounds. So it's a hedging thing. And yes, the noise in Q4, the dollar versus the pound, the dollar was up. And then in Q1, the pound was up. And so far, this quarter, the pound is up. We'll see what happens. In terms of what's the normal steady-state number in that other line, it's around $4 million.
Patrick Davitt: Thanks.
Operator: Your next question for today is from Bill Katz with TD Cowen.
Bill Katz: Okay. Thank you very much, and good morning, everybody. So based on your intra-quarter update, I think you bought back about 600,000 shares through early March, and then you did 3 million-plus for the entire quarter, which would suggest a pretty substantial ramp even before the stock took an incremental hit with the whole sort of post-Liberation Day market decline. So I guess the broader question is, what are the allocations for capital from here? And then just in terms of acquisitions, I appreciate you building out the alts platform. But are you looking at anything that might be a little more of size that could be a little bit more of a substantial shift in the profile of the ability to grow in the alts platform? Thank you.
Tom Donahue: Yes, Bill, it's Tom. The -- yes, we've bought 3 million shares -- over 3 million shares. And we just looked at what was going on and looked at our cash position. And we do have a number of things that we're looking at. There's nothing to announce or talk about. And some of them are maybe a similar size to the Rivington thing, and some of them are a little bit bigger. But of course, we'll have to see what happens there. In terms of the future for buying shares, we increased the dividend, and we will remain active in the share price. I know last quarter, we talked about why didn't we buy more in Q4 when the price was in the 40s. And then the price went down, and we decided to buy more. We still think it's undervalued. And we will see basically each day what we're willing to buy. So that's giving no indication of what we're going to buy, but we will continue. We have about 2.7 million shares left and approved from the Board. So I would expect this year, for sure, that we would be renewing that with a new program.
Bill Katz: Okay. Thank you for that. And then just as a follow-up, as you're going around your conversations, and maybe it's a little too soon just given the intensity of the volatility coming off the quarter into the new quarter, but what are you hearing on the institutional side in terms of allocations? Where might the incremental interest be? Where are decision-making at this point in time? Any delay? Or what are the conversations like? And where are you seeing the greatest opportunity for Federated? Thank you.
Tom Donahue: Well, on the institutional side, we are really happy about the $3.9 billion in mandates yet to fund. And we -- one of the most encouraging things is the interest in MDT. And part of the reason for that is their risk controls and the diversification that, that particular strategy offers to say nothing about the performance over one, three, five and 10-year period. And so, we are seeing a good bit of interest on that from the RFP perspective as well. The private equity and direct lending numbers are also, I have mentioned them and I don't have to go over them again, but that's another $1.7 billion that we're very happy with. Then active cash and short duration remains a constant part of enthusiastic activity.
Deborah Cunningham: We have two accounts that we'll be funding, actually, especially at the end of June. It will now happen in the beginning of July, after the 4th of July holiday. That is a substantial win from another state perspective. We are at a point in time, however, when most of the state accounts that we have are in basically the period where their assets start to decline on a cyclical basis. But if you look at the growth that they've experienced on a year-over-year basis, it's still pretty substantial. So even though we would expect those assets to go down still on a year-over-year basis, they're substantially higher than before.
Tom Donahue: And based on trips that three of us have taken out to Asia over the last three months, yes, MDT, yes cash, yes trade finance, yes, Asia ex Japan mandate, and yes, Guyer's Equity Fund. So those are the ones that are gathering the most attention.
Bill Katz: Thank you very much.
Operator: Your next question is from Dan Fannon with Jefferies.
Dan Fannon: Hi, thanks. Good morning. Wanted to follow up on the strong equity flows in MDT in particular. Can you talk about the fee rate of that subset versus the active -- the rest of the overall equity franchise? And then maybe the performance of some of the products here of late given the strength in flows, how they have weathered here this most recent bout of volatility?
Chris Donahue: Well, the performance is weathered very well. And I'll let Ray tell you about the fees.
Ray Hanley: Yes. Dan, the fee rates we talk about on a blended basis, if you took that down to the product level, the MDT equity strategies would be just slightly below our average fee rate, but not materially below. And in terms the performance comment, as Chris said, if you look at their strategies now post through the first couple of weeks of April, the three-year records remain in the top -- typically in the top decile, top 2% for the large-cap growth strategy, the top 2% for the large-cap value strategy being examples of that. So, they came through the April volatility with their long-term records intact and with good performance even during the period of volatility.
Dan Fannon: Got it. So, just to confirm, these products are below the overall fee rate of the firm, is what you said?
Ray Hanley: No, of the equity fee rate.
Dan Fannon: Okay, of the equity rate. And then what is the size of MDT as a percentage of the, whatever, $80-plus billion of equity products?
Ray Hanley: It's about $15 billion.
Dan Fannon: Okay. Thank you. And then just in terms of expenses, if I could just follow up, understanding the one-time dynamic with the VAT charge and some of the FX stuff, but is the rest of the line items, are these reasonable jumping-off points for the remainder of the -- as we think about 2Q and beyond?
Chris Donahue: Sure, Dan. Comp is a little higher because of the seasonal things I mentioned, the stock-based comp, and the payroll and benefits in Q1. So we got to take a little bit off of there. Distribution, what are the assets going to be that flows with the assets, we hope that goes up. Systems and communications, we expect that to go up. Professional service fees and occupancy and intangibles, I don't see much changes. Advertising, that flows with when we're doing our campaigns, and we're starting campaigns. So that should go up a little bit. And travel, that ought to go a little bit up as our sales force gets out there more. When I say a little bit up in those categories, I'm talking like only $1 million or something like that for the next quarter.
Dan Fannon: Great. That's helpful. Thank you.
Operator: Your next question is from John Dunn with Evercore ISI.
John Dunn: Hi. Maybe just to extend the fee rate conversation a little bit, particularly the pipeline. You mentioned the MDT rate. But overall, it would seem that mix of the whole pipeline would be accretive. Could you maybe talk about where the blended average of the whole pipeline might be and where it compares to historical levels?
Tom Donahue: Well, yes, it would be accretive given the skew toward private markets and to equity broadly and MDT in particular, Typically, if you look at our pipeline in the past, it would have been weighted more toward some of the institutional fixed income strategies that have lower fee rates, including things like active cash and short duration. So yes, the pipeline will be accretive to the overall blended fee rate of the company.
John Dunn: Got it. And then the MDT ETF came up earlier in your prepared remarks. Could you just remind us kind of like the outlook, how much AUM you have in active ETFs and the plan for maybe building out that roster?
Chris Donahue: So, we plan to add a handful of ETFs each year. And there's always a rigorous enthusiastic discussion about which candidates will be first and how that will turn out. The ETFs are over $800 million right now as a group and we also should add-in that discussion a little bit on collectives, which is a completely different business, and I know not the gravamen of your question, but it's another way of our being indifferent as to the buckets or the packaging but getting the investment management through in different markets. So that's our strategy on active ETFs. And we still feel we're in the early innings on the active ETFs and are ready to proceed. And you asked a specific question about how much is in the MDT ETF. Is that 25?
Ray Hanley: Yes, the -- there are four active MDT ETFs and they collectively have about $250 million. They're relatively new. They were launched in July of 2024.
John Dunn: Got it. Thank you.
Operator: Your next question is a follow-up question from Patrick Davitt. Your line is live.
Patrick Davitt: Hi, thanks for the follow-up. So I think you said MDT had $15 billion of AUM. So that's a pretty incredible organic growth rate. Are there any capacity issues with them taking in that much money at one time?
Chris Donahue: No. And we're not looking like on any of those mandates that we're thinking about capacity issues. So we're quite enthusiastic about keeping the growth going.
Patrick Davitt: Great. Thank you.
Operator: We have reached the end-of-the question-and-answer session. And I will now turn the call over to Ray Hanley for closing remarks.
Ray Hanley: Thank you for joining us today for our call, and that concludes the call. Thank you.
Operator: Thank you. This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.